Operator: Good morning, ladies and gentlemen, and welcome to the HelloFresh SE H1 2025 Results Call. [Operator Instructions] Let me now turn the floor over to your host, Dominik Richter.
Dominik Sebastian Richter: Ladies and gentlemen, thank you for joining our Q2 earnings call. The focus of today's call is on sharing color on our most recent quarter and also on providing an update on our efficiency program and then our product reinvestment strategy. Over the past 12 months, we've fixed a lot and done the hard work on improving the underlying fundamentals of our business: fixing structural efficiencies, rebuilding cost discipline and simplifying our operating model. While we continue to be laser focused on that, we're now also starting to set our eyes toward a return to growth with some really exciting product launches and a comprehensive reinvestment strategy kicking off in H2. Before I share more on that, let me start by quickly summarizing the highlights of our most recent quarter. We've made strong progress in executing our efficiency program, the major driver behind a significant expansion of adjusted EBITDA, adjusted EBIT and free cash flow. Much of that work, though not always visible externally to its full degree, was essential. It was not only cost cutting but a structural reset of how we operate. The result in H1 and in Q2 specifically show that we are well on track with our strategy that temporarily emphasizes profits and margins over growth. Consequently and in line with that strategy, revenues reduced by 9% year-over-year to EUR 1.7 billion. Contribution margin, on the other hand, increased by 1.4 points to 27.3%, a multiyear high. This led to an adjusted EBITDA of EUR 158 million for Q2 alone and notably, a 15.8% adjusted EBITDA margin for our meal kits product group. EBIT also grew by an impressive 20% year-over-year to over EUR 100 million in Q2. The results of much improved profitability are also clearly visible in our free cash flow generation, which was up 4x in H1 2025 versus the same period last year. Given that robust cash generation and the imminent completion of our EUR 75 million share buyback program, we have announced an upsize of the program to EUR 175 million. That means an incremental share buyback of EUR 100 million. Based on strong underlying operating results, we are ahead of the midpoint of our initial EBITDA guidance and compiled consensus. This is despite ongoing product investments, tariff threats and unprecedented inflation in red meat. Given the weakness of the U.S. dollar and other currencies versus our euro-denominated reporting currency, we want to reflect this in the euro EBITDA guidance. Suffice to say, the adjusted EBITDA and adjusted EBIT margins remain unchanged and in line with what was implied in our previous guidance. We also narrowed our top line guidance from minus 3% to minus 8% to now minus 6% to minus 8% given H1 top line run rates, especially for our RTE business, where we saw some temporary operational setbacks. Finally and most exciting, we're in the middle of launching some of the biggest product investments in HelloFresh history with major product upgrades for HelloFresh U.S. and Factor US, the first step in our ReFresh strategy that aims to provide a radically better food experience and pave the way for a return to growth for the company. In previous interactions, we've emphasized 2 priorities for 2025, delivering on our ambitious EUR 300 million efficiency program and reinvesting into the product to materially improve the customer experience. It's really important to understand that these 2 priorities, efficiency and product reinvestment are not isolated efforts. They are tightly interconnected and they are deliberately sequenced. We've made strong progress on our efficiency program, and we are now starting to put that foundation to work to return to growth. So let's start with an update on our efficiency program. As a reminder, we aim to take about EUR 200 million of the EUR 300 million efficiency program to our bottom line while planning to reinvest over EUR 100 million back into a much improved customer experience. Across our most important initiatives, we've made significant progress and are ahead of our original schedule. We improved direct labor productivity in our DCs and cooking operations considerably, a 19% year-over-year improvement in RTE and a 5% improvement in meal kits, which was a little bit held back by the ongoing ramp-up of our automated sites in DACH and the U.K. We've made good progress in rightsizing our network and reduced the square meter footprint in our operations by about 19% year-over-year to align with the updated growth trajectory. We also took decisive steps to build a leaner and faster organization, which year-to-date resulted in annualized personnel savings of EUR 60 million and 31% lower share-based compensation expenses through a restructure of our equity program. In addition, we drove savings across many indirect cost lines such as software licenses and ancillary spend and pivoted our marketing toward higher ROI thresholds. As a result, we're on track to implement about 80% of our efficiency program projects by year-end 2025. Of the planned EUR 300 million in recurring annual cost savings by 2026, we have implemented measures corresponding to about EUR 150 million annually already. Additional initiatives worth about EUR 90 million will still be executed in H2, another EUR 60 million are scheduled for 2026. Based on current run rates and the tight governance we have wrapped around the program, we feel confident that we will achieve or outperform the original EUR 300 million cost savings target. Additional initiatives, especially stemming from our efforts of deploying generative AI into content production, menu planning and workflow automation may offer further upside to our EUR 300 million efficiency program base case. The majority of these tailwinds will still work their full effect through the P&L and balance sheet in the coming quarters, given the timing of site closures, severance packages and notice periods. Crucially, the majority of these actions are permanent. They structurally lower our fixed cost base and improve margins on every order shipped in 2026 and beyond. Despite a lower top line and order volume in H1, these efforts resulted in significantly improved profit contribution margins, lower indirect costs and a leaner, faster organization already. The results are quite visible already. Free cash flow per share in H1 2025 was up 4x versus the same period last year. Now we're starting to put that foundation to work, not only through additional share buybacks, but also via the deployment of a multiyear strategy we call The ReFresh. At its heart is a simple but powerful idea, leveraging our meaningfully improved... [Technical Difficulty]
Operator: Ladies and gentlemen, please stay in line. We will continue shortly. Okay. So thank you, everyone, for your patience, and you can now continue.
Dominik Sebastian Richter: Okay. We're back. Apologies for that. We heard ourselves and some others were disconnected from the call. So we're going to restart on Page 8, where we talk about The ReFresh. So given the results from our efficiency program and the fact that both margins as well as cash flows per share are trending up very strongly, we're now putting that foundation to work, not only through additional share buybacks, but more importantly, via the deployment of a multiyear strategy we call The ReFresh. At its heart is a simple but powerful idea to leverage our meaningfully improved cost base to reinvest into what matters most, a radically better food experience. That means upgrading the quality, variety and the personalization of our meals and massively expand the number of options customers can choose from across meal kits and ready-to-eat. The flywheel is clear. Cost discipline will provide the funds for product innovation, a great product drives retention and LTV and retention unlocks profitable growth at scale. We also won't stop here. Every additional euro saved on top of our base case efficiency program is a euro we can put back partially into delighting customers. That's how we will return to sustainable profitable growth and move one step closer to fulfilling our long-term mission to change the way people eat forever. The bulk of these product upgrades will launch in H2 2025 and scale into 2026. We have, however, derisked our product-led return to growth strategy with select initiatives carried out in H1, the results of which have been encouraging and deepened our conviction about The ReFresh. In Canada, we doubled the number of weekly meal options and enabled HelloFresh customers to mix and match meal kits with Factor RTE meals, all from one single account. In the U.K., we redesigned the entire unboxing experience, including a new box design that keeps ingredients fresher for longer and generously increased vegetable portions and the share of seafood offerings. In Germany, we introduced organic proteins and organic dairy as premium options, moved entirely to grass-fed beef and launched a series of successful street food monthly specials. All of these have been received very positively by customers and form the basis for which we plan our reinvestments in our U.S. market as well. The next major milestone we embark on is our largest product upgrades to date, which has been launched for the back-to-school season in the U.S. just last week. U.S. meal kit customers will benefit from a 50% larger menu, having now access to over 100 weekly options in a first step. And at the same time, we're upgrading the menu itself through a combination of more seafood options, more generous protein and vegetable portion sizes, much higher cuisine diversity and a look and feel of our packaging, further emphasizing the improved value our customers get. Similarly, starting from August, Factor US customers will see more than double the number of meals on the menu versus Q1 2025. This is in addition to a wide range of new high-value protein cuts, premium seafood options and larger portion sizes. We will deepen the meal choice for our GLP-1 preference and also work on service level improvement such as additional delivery days in H2. With such an ambitious product road map and product expansion also comes operational complexity and the adoption of our manufacturing processes. As a result, Factor US experienced operational setbacks in H1 that temporarily disrupted customer satisfaction and our growth momentum. As we rolled out our multi-leg growth plan, including GLP-1 target offerings, expanded cuisine variety and upper funnel brand campaigns, we were, in hindsight, too slow to respond to emerging operational topics. Regularly changes required us to invest in additional shelf-life testing, rework some of our most popular meals and to temporarily increase meal reheat times. This resulted in a few months of much higher week-over-week repetition in our menus, reduced menu novelty and adversely affected customer satisfaction metrics. With new leadership in place since April, we've moved decisively to course correct and we've seen an encouraging trend reversal in recent months. Specifically, meal ratings are now at a 15-month high, recovering from the lows that we've seen in March. Cancellation rates simultaneously have declined for 3 consecutive months, supported by the deeper menu we offer now and exciting new ingredients that we have since onboarded. Forward-looking customer lifetime values also rebounded strongly from minus 15% year-over-year in late Q1, early Q2 to in line or better than prior year levels by June. These challenges were painful but instructive and the recent momentum is quite encouraging. While initially a drag to margin and growth, achieving this level of food safety and quality is a critical step for aggressively expanding the menu and presents a significant competitive advantage versus our competitors. Now with that, let's turn to a detailed review of our KPIs. Group orders reflect the dynamics of our strategy to emphasize profit and free cash flow generation in the first step over growth in 2025. Our focus on attracting higher-value customers and strengthening marketing ROI led to a 12% decline in orders for Q2. Geographically, North America was down 16%, where meal kits actually sequentially improved in terms of growth rates, but RTE was held back by weaker growth in Q2 for reasons that we just referenced and aiming to reaccelerate again by Q4. International, down about 7%, a lot of this due to the timing of Easter and the many bank holidays we saw in Europe throughout May and June, which generally leads to more holidays, higher port rates and lower orders during those periods. Our AOV development in constant currency was positive across both geographic segments. North America improved by about 4% and International by about 5% for a combined group AOV growth of 3% year-over-year. It's a continuation of the trends that we saw previously, a combination of larger baskets, some select price increases and lower incentive spend in line with our marketing strategy. Now taken together, we ended Q2 with revenues down 9.5% in constant currency, similar to what we saw in Q1. By product category, we saw meal kits improving sequentially, mostly driven by better performance in U.S. meal kits, where we have started to slowly move ahead of our -- slowly close the gap year-over-year. RTE growth was at minus 0.6%, clearly disappointing, but also very clear why it happened. We're recovering and improving trajectory now in Q3 and then aim to reaccelerate RTE growth again by Q4. Finally, our other category developed very positively and posted 55% year-over-year percent growth. With that, I'll hand over to Christian to walk us through the cost side and to give -- and to share color on our updated guidance.
Christian Gaertner: Okay. Thank you. So as you will clearly see on the following pages, we maintained significant momentum in our efficiency program across all cost and even more forcefully cash flow metrics. Starting with our contribution margin, we see a significant leap forward. In Q2 2025, we have continued our contribution margin expansion with a substantial 140 basis points to 27.3%. This expansion is a direct result of the efficiency levers, which Dominik had shown earlier, namely, number one, a meaningful year-on-year increase in our direct labor productivity for both meal kits and ready- to-eat. Secondly, the decisive steps we are taking to decrease our production footprint in meal kits. And then thirdly, efficiencies gained from reducing our overhead personnel and ancillary costs. Looking at our geographic segments, North America has further accelerated its remarkable increase in contribution margin, up by 380 basis points in Q2. In International, as discussed previously, we see a temporarily reduced contribution margin by 180 basis points, driven by the continued ramp-up of our automated sites, especially in the U.K. Importantly, and all in line with what we have discussed in the past, we expect this to reverse by the end of this year, setting the stage for year-on-year contribution margin expansion from Q2 onwards also in international. So in summary, we are so far well on track to exceed the contribution margin expansion target I had committed for the full year 2025, which if you recall, was an expansion of at least 100 basis points. So in Q2, we expanded by 140 basis points. For the full H1, we expanded contribution margin by 130 basis points, so meaningfully above versus what we had given out as a target at the beginning of the year. This is a massive achievement, and it's really hard to achieve. So these are not just numbers on a page, but everyone who works in fresh food manufacturing at scale will confirm that this is a massive achievement. That only works if your tech tools click into place, if you rework and optimize a lot of underlying processes and deliver very strong, very consistent day-to-day management across our fulfillment centers. So very well done by our North America ops teams to having achieved that extent and those sustainable savings under our efficiency program. Let me now turn to our marketing expenses. And here, I want to be brief, this is really a continuation of the trend seen consistently now over the last 4 quarters. As you know, we have increased our performance marketing ROI targets mid last year and stick to these in a disciplined manner. As a result, we have decreased our relative marketing spend again in Q2 by 80 basis points, very similar to what you've seen from us in Q1. By product group, these savings come primarily from meal kits, while we have kept total marketing spend for ready-to-eat broadly stable year-on-year. The disciplined execution of our efficiency program has allowed us to increase EBITDA year-on-year again. If you focus on the top of this table, we have increased our EBITDA in Q2 to EUR 158 million. This is EUR 12 million higher than last year's Q2 and means we have increased EBITDA for the full H1 of plus EUR 54 million. Both of our geographic segments have contributed to this positive trend. North America increased EBITDA from EUR 132 million to EUR 138 million. International increased EBITDA from EUR 54 million to EUR 61 million. From a product group perspective, the Q2 EBITDA margin of meal kits was close to 16% and 13.5% for H1. We are planning to maintain this FMCG-type healthy teens margin level while gradually taking the business back to positive growth through product investments. In ready-to-eat, we achieved a positive EBITDA margin of 3.5% in Q2, similar to last year. Once we get to Q4 and thanks to the product improvement initiatives outlined by Dominik earlier, we are planning to start expanding EBITDA and revenue again in this product group by the end of this year. Lastly, total holding EBITDA is flat year-on-year in Q2, which is an achievement, if you keep in mind that, number one, we have centralized the number of activities, leading to relatively more costs being allocated to holding. Secondly, we have restructured our equity program, which reduces the company's equity grants by EUR 30 million annually. So it saves us quite some money, but it increases EBITDA relevant based comp by around about EUR 13 million annually. And then lastly, some of the tech personnel expenses are capitalized as own development software -- own developed software, i.e., reductions here will show up over time as reduced D&A, but not within EBITDA. So on a like-for-like basis, we meaningfully decreased personnel costs also in the holding, contributing to the overall more than EUR 60 million annualized indirect personnel savings implemented by the group already. So this EBITDA uplift in Q2 has also translated into a strong EBIT increase in the same quarter. We increased our adjusted EBIT in Q2 year-on-year by EUR 17 million to EUR 101 million, a 6% margin. This is driven by the effects I discussed earlier, namely the continued strong contribution margin improvements driven by our efficiency program and improved relative marketing expenses. Both of our geographic segments have delivered double-digit year-on-year adjusted EBIT increases, North America with a year-on-year increase of 14% to EUR 116 million and International with an increase of 16% to EUR 39 million. Now let's turn to our free cash flow, which is one of the highlights of our H1 performance. Here, the wins of our efficiency program show most clearly. We have grown our free cash flow by a factor of 4x in the first half of 2025. Firstly, this is driven by the meaningful EBITDA expansion of EUR 54 million that we just discussed. In addition, we had a more pronounced cash inflow from working capital and a sizable tax refund in H1. We also had around about EUR 30 million lower CapEx compared to last year. This altogether has boosted our free cash flow per share from EUR 0.30 last year to EUR 1.24 in H1 this year. In H2, we will, in line with what we have discussed previously, largely a catch up with last year's CapEx, primarily as we build out our site here in Germany certified to become our European ready-to-eat production site. Our free cash flow in H2 will therefore be somewhat more modest than in H1. We should achieve a full year number meaningfully in excess of EUR 200 million, i.e., we are on track to overdeliver meaningfully on a promise I made at our Capital Markets Day, that we would more than double our free cash flow this year. So last year, we delivered around about EUR 70 million of free cash flow, doubling would be EUR 140 million. We're now trending to meaningfully above EUR 200 million for 2025. Given the healthy cash flow generation of the business, we've decided to increase our current share buyback program by EUR 100 million. Dominik had mentioned that earlier already to up to EUR 175 million. This will allow us to continue reducing our share count, further boosting free cash flow per share. Let's now turn to FX effects. Just to recall, we had provided our initial EBITDA outlook on a U.S. dollar to euro rate of 1.04 and rates for other relevant currencies as of that time. However, the U.S. dollar has weakened meaningfully versus the euro since the initial outlook was provided from 1.04 to 1.15 in June and currently even softer. In addition, certain other currencies relevant to HelloFresh's business have softened versus the euro over the same period, such as primarily the Canadian dollar and the Australian dollar. If June rates prevailed until the end of the year, this would mean for full year 2025, a negative impact of EUR 365 million for revenues, for euro reported revenues, EUR 38 million impact on EBITDA and EUR 28 million on adjusted EBIT, part of which has crystallized in H1, primarily in Q2 already. Now given the magnitude of this currency movements, we are reflecting this by marking to market our outlook on the next page. But before we talk about the profitability impact of FX, let's talk about constant currency revenue. Initially guided to a constant currency revenue decrease of negative 3% to negative 8% for the group. We are now narrowing this outlook within the range to a decrease of negative 6% to negative 8% constant currency revenue growth. Key driver is the RTE product group, which in H1 has grown 3.6% on a constant currency basis and was slightly negative in Q2. It's only expected to reaccelerate growth towards the end of the year as a result of The ReFresh program. Now let's come to profitability. Our original full year 2025 outlook of EUR 200 million to EUR 250 million EBIT and EUR 450 million to EUR 500 million of EBITDA was provided, as we just discussed, on a U.S. dollar of 1.04. Now very importantly, actual underlying earnings performance in H1, excluding FX effects of the group has been slightly better than the basis on which the outlook was originally provided, primarily thanks to the disciplined execution of our ongoing efficiency program. However, as discussed on the previous page, the U.S. dollar and certain other relevant currencies have weakened meaningfully as you've seen on the previous page versus the euro since the initial outlook was provided. We are, therefore, marking our original adjusted EBIT outlook to the impact of these currency developments by EUR 25 million and our EBITDA outlook by EUR 35 million, i.e., a touch less than the full year effect we've seen on the previous page. This implies shifting the midpoint of our previous 2025 adjusted EBIT range from EUR 225 million to EUR 200 million, resulting in an updated range of EUR 175 million to EUR 225 million, and shifting the midpoint of our previous 2025 adjusted EBITDA range from EUR 475 million to EUR 440 million, resulting in an updated range of EUR 415 million to EUR 465 million. Again, this adjustment only reflects the FX effects, assuming June rates for H2 as outlined. Implied adjusted EBITDA and adjusted EBIT margins remain unchanged to before. If the dollar were to strengthen towards Q4, we are happy to shift that range to the right again. But given that the vast majority of our profits are generated from non-euro currency markets, we have to reflect that currency movement in our outlook. However, this has nothing to do with the underlying performance, just to make this clear again, i.e., we target to cover any upfront costs related to the product investments and The ReFresh program that Dominik has outlined, which primarily will occur in Q3, any other planned customer-focused initiatives as well as the impact of announced U.S. tariffs within our original outlook. Very lastly, for Q3, we expect to be somewhat below last year's EBIT and EBITDA, given the combination of, one, FX headwinds, which we've now discussed at length; secondly, upfront costs related to The ReFresh program and the implementation of other customer-centric measures, which will impact both contribution margin and marketing in Q3. With that, apologies again for the technical glitch by our provider in the middle of the presentation, and we still look forward to your questions.
Operator: [Operator Instructions] The first question comes from Luke Holbrook, Morgan Stanley.
Luke Holbrook: My question would just be on -- at the CMD that you described that the core base of customers that you had was around 64% of your total orders. In other words, those that had ordered at least 21x on your platform. I think 80% of all that had ordered at least 11x. So I'm just wondering with this degree of revenue decline that we've seen in the first half of the year, where are we in terms of getting towards that core cohort base? In other words, by this time, by the end of the year, do you expect to be at that level?
Christian Gaertner: Look, in the terms of the data that you referred to that was basically the maturity breakdown of our meal kit customer base that we have discussed at the Capital Markets Day. There's no change to that breakdown in terms of the split of our orders. So again, it is very weighted to mature loyal, high-quality customers within meal kits. In terms of the meal kit volume and revenue development going forward, you should continue to see a gradual improvement. So it is gradual. But if you compare Q2 versus Q1, you see already that our revenue has picked up, and you should continue to see that into Q3 and even more forcefully into Q4. So the momentum here is going into the right direction. The second derivative, so to speak, is positive again for that business, but it takes a while for that to wash through.
Luke Holbrook: Okay. So you're saying there's no change in the actual cohort mix despite revenue declining year-on-year. I'm just trying to understand why that would be the case, why it would be seen across all cohorts in the same fashion.
Christian Gaertner: So the revenue -- no difference really to what we had discussed 4 months ago. The revenue decrease year-on-year really comes from the fact that there is in absolute numbers, less new customers in that mix, and they miss in terms of their revenue contribution. They are less relevant for total value and profits, but their revenue contribution basically is what's missing. Again, the absolute number of orders that we generate from our loyal customers is not down year-on-year meaningfully.
Operator: The next question comes from Joseph Barnet-Lamb, UBS.
Joseph Barnet-Lamb: I just want to understand what's going on in RTE a little better. Correct me if I'm wrong, but one way you could view the business is the growth is a function of marketing and marketing is a function of customer lifetime value versus CAC. I understand there were specific factors that impacted RTE in the quarter, which would have lowered customer lifetime value. As a result, deploying marketing would have been less attractive. But you state that customer lifetime value in RTE was in line or better than the prior year in June. So why would it take until 4Q for growth to reaccelerate in RTE? Why wouldn't that happen sooner? Is there some shift in CAC? Or are you expecting churn to remain materially elevated, albeit your chart seem to show that wasn't the case. Just looking for a bit more color there.
Dominik Sebastian Richter: Great question. So what we quoted here is the projected customer lifetime value. So that's the customer lifetime value that will materialize over the next couple of quarters. We have very good visibility into projected customer lifetime after the first couple of weeks and the order behavior that customers have in those first couple of weeks. So to give you just like a simple example, if you're ordering 2 times in the first 3 weeks, there's a very high predictability how many orders you're going to be placing over 3 months, 6 months, 9 months, 12 months. And so what we see here in the reversal is that the early customer behavior has changed quite a bit, sort of like going out of Q2, but that impact will then kind of like only shine through the P&L in -- to a larger degree in Q3 and predominantly in Q4 and 2026. So that's the difference between a lagging metric and a predictive metric.
Operator: The next question comes from Giles Thorne, Jefferies.
Giles Thorne: It was a question on competition in ready-to-eat in the U.S. CookUnity was already a threat and by all accounts is building momentum. And on Tuesday, we had Wonder relaunching Blue Apron. And [Technical Difficulty] operators, including yourself, big divergence in models for the category in the U.S. So can you give an account again, please, Dominik, especially given the issues you've had in the quarter, why the Factor model of industrialized production and a subscription model remains the right way to go for the category in the U.S.?
Dominik Sebastian Richter: So there are obviously advantages and disadvantages with different business models and different operating models. I think we very clearly feel that we can scale to a very large number of meals in line with what the CookUnity is offering today and was able to offer faster to customers given the decentralized setup, but we want to do that from a largely centralized manufacturing capability. I think food and healthy safety standards are extremely important in this industry. That's also where we want to be the leader. That's where we have taken steps in Q1, Q2 to kind of like really make sure that our processes are super robust and absolutely leading. And that is something which in the short term, like very clearly, we weren't able to scale up as quickly to the same large menu that a smaller provider like CookUnity had temporarily. But we think in the long run that it doesn't hold us back to get to the same levels of menu variety and menu novelty for customers. I think on the subscription model itself, in my view, there are, again, very, very clear benefits of running in a soft subscription model like ours versus one-off orders. But it's also not sort of like a set in stone. We are big believers that this offers like a big customer value. You don't need to every time go in and choose and make an offer. You actually have it on autopilot. That's what many, many customers actually appreciate. But look, the food landscape has always been fragmented. I think there's never going to be like a winner takes all market for one restaurant or for one type of grocery shopping, cooking, et cetera. And we definitely do feel that by reinvesting into the product now, by making sure we have the best product and offer that we have a lot of opportunity to first return to growth and then grow sustainably for many years to come.
Giles Thorne: And any thoughts, Dominik, on the shift that Blue Apron's moved by moving the subscription from the meal kit onto the delivery in the kind of Amazon Prime-type model?
Dominik Sebastian Richter: So I don't have a sort of like very -- I don't have a very nuanced view on it. I think generally, it's always interesting if you see competitors playing around with some elements of the business model that you have in an industry. We're definitely watching it closely. But I think in the food business, like you win mostly by having the best product on the market, and that's sort of like very, very clearly what we want to focus on in the upcoming quarters. I think that's the way bigger driver for long-term success than playing around on the margins of the business model while being very interesting. So I definitely don't want to talk it down. It's very interesting to watch that from the sidelines. But our clear strategy is to make sure that we have a radically different food experience and the best food experience in the market.
Operator: The next question comes from Nizla Naizer, Deutsche Bank.
Fathima Nizla Naizer: Great. So my question is on the contribution to RTE from the international markets that you launched in. Could you give us some color as to how that's going? And when would it start to contribute to growth and really drive that segment? And then maybe just connected to that, if I may, when you think of 2026, and I know it's a bit early, but is a return to growth from a group level, the plan for 2026, how are you sort of thinking about that?
Christian Gaertner: Nizla, it's Christian here. So in terms of ready-to-eat Europe contribution or international contribution that is growing nicely. It is, however, also coming at a cost. So it's also contributing with a negative EBITDA this year around about EUR 15 million, which is quite a bit up versus basically what it had contributed in terms of negative share last year. But again, it is scaling very much in line with what we have planned. And then I would say the next milestone for us to further dial up the -- our ambition level here is once the European production site goes live and ramps in 2026. In terms of overall group growth, so delivering positive growth in 2026 is certainly something we strive for.
Operator: Our next question comes from Andrew Ross, Barclays.
Andrew Geoffrey Ross: I wanted to come back to the guidance and just to try and reconcile the language you've given on the guidance for EBITDA and EBIT today versus Q1. So I guess in late April, when you reported Q1, a lot of the FX move had already happened. You didn't change the profitability guidance, and there was a sense that better underlying performance could offset at least some of the FX headwinds. And you're still saying today that the underlying picture is better in the first half. But then when I look at the guidance change, it pretty much fully reflects the mark-to-market on FX. So I'm just trying to understand like why that's the case. Is it because you're just being a bit conservative and the ranges are quite wide, but the underlying is better? Or is it we're now assuming that the underlying is actually worse than expected in the second half to offset the better first half?
Christian Gaertner: Yes. Andrew, I would say it's -- we were not necessarily -- our base case, and I would say probably not the one of the market itself was that the dollar continued to weaken consistently since then. So yes, if this would have been confined to roughly a quarter, we would have done our best to just absorb it and basically outperform somewhere else to absorb the impact of a couple of months for full year. And again, we are talking about an impact for the full year of close to EUR 40 million in terms of EBITDA that just doesn't work. But again, this is pure FX. Now basically, all rates softened versus -- or have softened versus the euro, there will be also a period where this goes the other way. So there's nothing that's really affecting our business itself, but it is what it is. So again, if this would have been confined to a couple of months, then we would have been fine to absorb it full year, and we're now 7 months through that year already. That just doesn't work to that extent.
Andrew Geoffrey Ross: If the underlying is better and the FX headwind is EUR 38 million, why lower the guidance to EUR 35 million? Why not lower the guidance by less to reflect a better underlying picture?
Christian Gaertner: Look, we -- number one, we took it down a bit less. So it's close to EUR 40 million with the FX impact. We shifted it from EBITDA level down by EUR 35 million. The outperformance in H1, we need to also keep in our back pocket to reinvest into the product. So again, we're happy to bring home those EUR 200 million net to the bottom line, but anything beyond -- by 2026, but anything beyond, we want to put back into the product, as Dominik has outlined.
Operator: Okay. Thank you very much. As there are no further questions, I'd like to hand it back to the speakers for some final closing remarks.
Dominik Sebastian Richter: Thank you for joining us for today's call. We look forward to reporting back on our progress towards the end of October when we release our Q3 numbers. Have a nice day and good holidays wherever you are. Thank you.